Operator: Hello, and welcome to Exelon's Third Quarter Earnings Call. My name is Gigi, and I'll be your event specialist today. [Operator Instructions] Please note that today's webcast is being recorded. [Operator Instructions] It is now my pleasure to turn today's program over to Andrew Plenge, Vice President of Investor Relations. The floor is yours.
Andrew Plenge: Thank you, Gigi, and good morning, everyone. Thank you for joining us for our 2025 third quarter earnings call. Leading the call today are Calvin Butler, Exelon's President and Chief Executive Officer; and Jeanne Jones, Exelon's Chief Financial Officer. Other members of Exelon's senior management team are also with us today, and they will be available to answer your questions following our prepared remarks. Today's presentation, along with our earnings release and other financial information can be found in the Investor Relations section of Exelon's website. We would also like to remind you that today's presentation and the associated earnings release materials contain forward-looking statements, which are subject to risks and uncertainties. You can find the cautionary statements on these risks on Slide 2 of today's presentation or in our SEC filings. In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. Reconciliations between these measures and the nearest equivalent GAAP measures can be found in the appendix of our presentation and in our earnings release. It is now my pleasure to turn the call over to Calvin Butler, Exelon's President and CEO.
Calvin Butler: Thank you, Andrew, and good morning, everyone. We are happy to have you with us today for our third quarter earnings call. As we reach the last months of 2025, the 25th year since Exelon's founding, our employees continue to execute with excellence, serving our customers, communities and shareholders. We reported earnings of $0.86, which was stronger than anticipated due to slightly warmer weather and a mild storm season, along with timing-related drivers. We continue to reaffirm our operating earnings guidance for 2025 of $2.64 to $2.74 per share, and we look forward to closing out the year strong. We also continue to deliver some of the best operational performance in the industry. In fact, we now have the final results of our reliability benchmarking for last year, and our 4 utility operating companies are ranked 1, 2, 4 and 7 out of our peer set, improving upon last year's already stellar 1, 3, 5 and 8 rankings. I could not be prouder of the way our employees show up every day, whether it's selecting, planning and operationalizing the right investments to avoid outages or being the fastest to get customers back online if the power does go out. This performance has real value, particularly when you consider that a typical major storm can cost hundreds of thousands of dollars for the average customer, depending on its size. Our operational North Star is to continuously improve upon this performance, offering above-average performance at below average rates to the communities we have the privilege and honor of serving. Results like that show we're living up to that standard. As it pertains to rate cases, we remain on track for our gas distribution rate case at Delmarva Power and our Atlantic City Electric rate case. We also filed a rate case at Pepco, Maryland with a decision required per statute by August of 2026. The filing supports the company's commitment to delivering safe, reliable and resilient service while further preparing the local grid for future clean energy demands. Our filing also demonstrates true focus on customer value, reflecting strong O&M cost containment and robust projected benefits from specified reliability investments that significantly exceed their cost. Outside of rate cases, we have seen more progress in our states and at PJM when it comes to advancing solutions to meet the growing need for reliable and resilient power. Last week, Illinois passed the Clean and Reliable Grid Affordability Act, which directly supports resource adequacy by expanding the annual budget for energy efficiency, broadens the types of assets eligible for the distributed generation rebate and creates an energy storage procurement plan. It also requires the commission and other state agencies to develop 4-year integrated resource plans and gives the ICC discretion to facilitate transmission projects that support state goals. This marks the next chapter in Illinois energy transition, and we look forward to working with policymakers on implementing this next set of programs. In Maryland, the commission initiated a request for merchant generator proposals for up to 3 gigawatts of new energy supply. The process attracted several submissions, though the disclosed capacity levels have fallen short of their target, and we will learn in December which of those projects the Maryland Department of Natural Resource Power Plant Research program might recommend. And PJM is working through its Critical Issue Fast Path process for options to better accommodate new large loads, assisting our states as they navigate unprecedented levels of growth. We are encouraged by the breadth and amount of engagement in that process, and we look forward to finding solutions that ensure customers can rely on cost-effective power supply. And as we have stated, these efforts are welcomed and necessary, but they are not enough. There is a significant anticipated shortfall in supply and hoping that markets alone will fill it puts too much risk on customers that increasingly depend on affordable supply to power their lives. All states need to leverage all available options to bring control, certainty and customer benefits to securing power. These options help ensure that all customers continue to have reliable access to energy and that the states can participate more fully in the economic development opportunities from artificial intelligence and onshoring. The supply challenge is real, and we know utilities can be a key partner in helping the state solve it, whether it's supporting investments in the demand side like energy efficiency, distributed and community solar and storage or even owning more traditional generation plants. We stand ready to work with our states as they seek opportunities to address growing energy security needs in a manner that fits their goals. The demand for power is not slowing down. Our large load pipeline now stands at over 19 gigawatts as we have finalized our cluster study approach and now account for our first transmission security agreement at PECO. The innovative TSA approach ensures we strike the right balance in prioritizing large loads, while ensuring our existing customers are protected. Furthermore, we now have at least 27 gigawatts either waiting signed TSAs or in active cluster studies with many more behind those. Additional details on our large load outlook can be found in the appendix. Connecting new business is expected to be just one of the drivers of the anticipated growth in transmission investment in our next 4-year plan. This new business will also drive broader needs for the grid, which get identified in reliability assessments like PJM's open windows, and it helps drive inter RTO opportunities like MISO Tranche 2.1 segment running through ComEd's territory. We will be monitoring the recommendations coming out of PJM's latest open window over the next 3 months to determine if any of the solutions we have proposed either individually or with partners are selected. With no project greater than 3% of our 4-year plan, we are focused on bringing all of our customers along at the appropriate pace while also ensuring we can earn a fair return of 9% to 10% on the equity capital provided by our investors. With rate base growth of 7.4% through 2028 and a balanced financing plan, we expect to grow our earnings at an annualized rate of 5% to 7% with the expectation of always delivering at the midpoint or better of that range. I will now ask Jeanne to cover more details on our regulatory updates and financial performance. Jeanne?
Jeanne Jones: Thank you, Calvin, and good morning, everyone. Today, I will cover our third quarter financial update, along with our financial and regulatory outlook for the remainder of 2025. Starting on Slide 5, we present our quarter-over-quarter adjusted operating earnings walk. Exelon earned $0.86 per share in the third quarter compared to $0.71 per share in the third quarter of 2024, reflecting higher results of $0.15 over the same period. Earnings are higher in the third quarter relative to the same period last year, driven primarily by $0.12 of higher distribution and transmission rates, net of associated depreciation and $0.06 associated with the ability to seek deferral treatment of the PECO extraordinary storms earlier this year and favorable storm conditions at BGE. This favorability is slightly offset primarily by interest expense. These results are ahead of the expectations noted in our prior quarter call, primarily due to better-than-normal storm conditions, timing of O&M spend and tax timing at PECO. As we close out the year in the fourth quarter, we remain on track to achieve operating earnings of $2.64 to $2.74 per share with the goal of delivering at midpoint or better. Our fourth quarter guidance assumes a reversal of timing, including O&M, distribution earnings at ComEd and PECO taxes; fair and reasonable outcomes for open rate case proceedings, including reconciliations at BGE, Pepco, Maryland and ComEd; and normal weather and storm activity. Finally, we reaffirm our annualized operating earnings growth rate of 5% to 7% through 2028 with the expectation to be at the midpoint or better of that range. Turning to Slide 6. I will now review the regulatory activity across our platform. Starting with the base rate case activity, we continue to make progress on the Delmarva Power gas distribution rate case filed last September with the final settlement conferences held in October. As a reminder, the filing seeks to recover reliability investments such as aging pipe replacements, and it also seeks recovery of LNG plant upgrades, which would protect customers from price volatility during peak periods. We anticipate an order in the first quarter of '26. At Atlantic City Electric, settlement discussions continue as we seek recovery for grid improvements and modernization investments in line with New Jersey's Energy Master Plan and the Clean Energy Act. We continue to anticipate an order by the end of the year. Finally, on October 14, Pepco filed an electric base rate case in Maryland, requesting a net revenue increase of $133 million, utilizing a fully forecasted test year. The request supports key infrastructure investments to modernize aging infrastructure and improve reliability while also supporting Maryland's clean energy goals. As part of the filing, Pepco through an independent firm found that $38 million of investments generate nearly $262 million in benefits to customers through avoided outage and restoration costs as well as avoided O&M expenses over the next 20 years. The filing also offers a suite of programs and resources that help manage rising energy costs, increase awareness of energy usage and provide direct assistance to those who need it most. Per Statute, an order is expected from the Maryland Public Service Commission in August of 2026. Beyond base rate cases at ComEd, we remain on track for our first reconciliation under the new multiyear plan framework, where we continue to robustly support the spend submitted for reconciliation throughout the final briefing process. An ALJ-proposed order is expected later today, and the ICC will issue a final order by December 20. In Maryland, we continue to await decisions on our final reconciliations from the first PGE and Pepco Maryland multiyear plans, along with the commission's order on the lessons learned proceeding to support future filings. We look forward to moving forward with an approach that best aligns stakeholders' interest in balancing affordability, reliability and the state's economic development and energy policy goals. Finally, turning to Slide 7. I will conclude with updates on our balance sheet activity, where we've continued to derisk our financing plan and ensure cost-effective capital to invest for the benefit of our customers. In September, PECO issued $1 billion in debt, completing all of our planned long-term debt issuances for the year. The strong investor demand and attractive pricing we've achieved in our debt offerings is supported by the strength of our balance sheet and by the low-risk attributes of our platform. We continue to seek opportunities to take advantage of current market dynamics to derisk our plan. This includes utilizing our pre-issuance hedging strategy and pricing future equity needs to settle through forward agreements under the ATM, reducing interest rate and share price exposure. Through the third quarter, we have priced nearly half of our equity needs through 2028, including all of our annualized equity needs in 2025 and $663 million or 95% of our 2026 annualized equity needs, which we expect to settle next year. In line with our last earnings call, we continue to project 100 to 200 basis points of financial flexibility on average over the Moody's downgrade threshold of 12%, approaching 14% at the end of our guidance period. We also continue to advocate for language that incorporates all tax repairs for calculating the corporate alternative minimum tax. As a reminder, favorably addressing all repairs in the minimum tax calculation will result in an increase of approximately 50 basis points in our consolidated credit metrics on average over the plan. Thank you, and I'll now turn the call back to Calvin for his closing remarks.
Calvin Butler: Thank you, Jeanne. As we approach the end of our 25th year as Exelon, we are working to add to our legacy of excellence, delivering on our commitments to our customers, our communities and our investors. Many of you may have seen us ring the opening bell at NASDAQ last month, and I was honored to represent our company alongside some of our longest tenured employees. Standing next to me were just a few of our more than 2,500 employees who have been with us and our local energy companies for 25 years or more. Our operating companies have over 800 years of collective experience, delivering energy to customers provided by dedicated employees who keep the lights on and the gas flowing day in and day out, no matter the conditions. And they are the reason our utilities are ranked as the best or among the best in the business for reliability. They also can't do it without smart, targeted investments in our grid. It's why 98% of the net profit earned at our utilities generated with fair returns on the shareholder dollars entrusted with us have been reinvested back into the system over the last 5 years. Those investments not only deliver top-notch service, they also boost local economies with every $1 million creating 8 jobs or $1.6 million of economic output. So we don't take this performance or the responsibility of supporting our communities for granted, and we know it will take continued discipline to ensure that we can provide high levels of service at below average prices for another 25 years and beyond. We will continue to advocate that our jurisdictions provide fair recovery for our investments with the expectation that service remains high, that we treat all users of the grid fairly and equitably and that we put our customers first. Our priorities this year do just that, ensure we earn that right to provide our customers top-notch value every day. For example, we continue to focus a dedicated team on pulling cost out of our business to keep cost growth below inflation. We push our business lines to work smarter and leverage technology, providing better service at lower cost. We advocate for rate-making constructs that ensure we can plan, invest and operate as efficiently as possible, benefiting from alignment and forward-looking planning. We continue to support and leverage customer assistance programs like LIHEAP and to advance rate designs that support the customers who need it most. And we advocate for fair policies that can equitably serve growing load while instilling greater confidence in resource adequacy. That includes developing our innovative TSA approach, which we have filed for our first customer with FERC and are proposing as part of tariff adjustments at ComEd. And it's why we're increasingly advocating that our jurisdictions take more control over their power supply. They can complement supply induced by better designed markets with solutions like utility-owned generation that regulators oversee, giving them control, certainty and cost benefits for customers that markets alone don't offer. We look forward to closing out 2025 strong, earning an ROE aligned with allowed levels in the 9% to 10% range and delivering against our guidance of $2.64 to $2.74 per share, always with the goal of midpoint or better while maintaining a strong balance sheet. There would be no better way to celebrate our 25th year as Exelon and further cement our foundation to deliver consistent growth and long-term value for another 25 years. Gigi, we are now ready for questions on the line.
Operator: [Operator Instructions] Our first question comes from the line of Shar Pourreza from Wells Fargo.
Shahriar Pourreza: Appreciate it. Luckily, there's no news flow in the space, and it's been kind of relaxed.
Calvin Butler: That's just our way of saying we missed you.
Shahriar Pourreza: Yes, I missed you, too. So Kevin, just obviously, resource adequacy was very topical in your prepared remarks. Maybe just starting with Maryland. Just your broad thoughts around the RFP. I mean you've been out there talking about regulated solutions to solve the needs there and now Constellation just came out with their own solutions ironically this morning. Can we just get a sense on how you're thinking about the process, the timing and then your views on sort of these competing options that were proposed this morning.
Calvin Butler: Yes, thank you, Shar, and I appreciate the question. Let me first begin by saying that we commend the state of Maryland for initiating the process. And while we appreciate that they received some responses, our view is that they fall short of what's needed for the state and for PJM more broadly. Having said that, we're happy to see the several parties stepped up and actually talked about adding supply. Let's be clear, this is all about solving the problem and bringing energy costs under control for our customers. And that's what we're focused on, affordability and reliability each and every day. Customers have voiced very strongly that they're frustrated with high energy costs, and we are frustrated, too. But overall, we are encouraged to see a reply to the RFP. And like I said, the disclosed need fell short of the goal, and we'll have to see what the Maryland Department of Natural Resources and other stakeholders recommend to the PSC, but we are more than willing to step up. And as we've said before, Shar, if the competitive market is willing to step up and fill this need to meet us where we are at this time and not relying on the old rules of the past, we're okay, but it's time to move forward and continue to be progressive and aggressive in what we're trying to do for the state.
Shahriar Pourreza: Got it. That's perfect. That's actually consistent with what you've been saying. And then maybe just, Calvin, shifting to Pennsylvania. There's obviously 2 bills sitting at the House and Senate around resource adequacy. I think they reconvened in November. I guess thoughts there. And more importantly, can the wires companies kind of strike a middle ground with the IPPs maybe around a long-term resource adequacy agreement structure that is also being proposed in the legislation versus this kind of push-pull around rate basing generation or doing nothing and letting the market dictate new [ bills ]. So I guess how are the discussions in Pennsylvania going? Do you think you could strike a deal there?
Calvin Butler: First off, we are committed to working with all the parties. from the governor's office to the IPPs and of course, with our peers in the state. Mike Innocenzo, our Chief Operating Officer, is here, and I know he's been as former CEO of PECO, he's been very engaged in that discussion as well. Mike, anything to add?
Michael Innocenzo: Yes, sure. Thanks, Calvin, and thanks, Shar, for the question. Discussions in Pennsylvania continue to go very well. As you're aware, Pennsylvania is a little different space in that they continue to be an exporter, continue to see the value of being an exporter, leveraging our natural resources in Pennsylvania and continue to see the advantage of being an exporter in terms of economic development and look as that as an opportunity to solve that. There are 2 active bills, one in the Senate, one in the House that are being discussed. At the same time, we're talking with the governor's offices about on all of the above solutions, including longer-term PPAs, contracts. So I think you'll start to see more activity, probably more likely in the spring. Candidly, they're in the middle of budget discussions in Pennsylvania right now, which is taking most of the legislative space. But we've seen some active discussions with the governor's office. In addition, I don't know if you saw that the PUC hired a party to do a third-party study on that. And I think that will also inform where we go in the spring.
Operator: Our next question comes from the line of Paul Zimbardo from Jefferies.
Paul Zimbardo: I was hoping you could unpack the new Illinois legislation a little bit just in terms of what you see the investment opportunities, energy efficiency, transmission for some of these distributed resources. If you could just kind of unpack that a little bit, that would be helpful.
Calvin Butler: Sure, Paul. I will start, and I will lean to my colleague, Jeanne, to help with that discussion as well. But as you know, on the last night of the Fall Veto session, Illinois passed what is called Senate Bill 25, the Clean and Reliable Grid Affordability Act, and it really focused on 2 things, Paul, around state -- new customer programs as well as state policy and resource adequacy. It enhanced the energy efficiency program, which is one of the quickest and most efficient ways to improve resource adequacy, and it laid out a target of 3 gigawatts of storage by 2030. That is significant. And it also expanded the opportunities for consumers to leverage distributed generation rebate programs and also advancing virtual power plan approaches and mandating time-of-use rate offerings, which, by the way, ComEd already offers some time of use rate offerings. So this is in furtherance of that and telling people, if you're going to come into the market, we're going to evolve into that area. And finally, it also focuses on the broader role that the state can play in developing that integrated resource plan that I mentioned in my opening comments. So we think this gives the state further opportunity, and this is how they're looking at it to demonstrate leadership in energy policy while also supporting economic development. And let me tell you from ComEd's point of view and Exelon's point of view, any opportunity we can to invest in the grid to keep that #1 spot in reliability and resiliency and to create jobs and economic development in the state, we're leaning in with them. And I know our CEO, Gil Quiniones at ComEd has been in discussions with not only the commission, but the governor on what's next, but we're very actively engaged in that process.
Paul Zimbardo: Excellent. And as we all start to think about fourth quarter and maybe a little bit of a sneak peek, I like that transmission slide where you showed the large step-up in rate base in 2028. And obviously, that doesn't all add earnings in '28. As we think about 2029 and that roll forward, is it fair to think about the stronger growth year than 2020, you say below the midpoint of the range. Is it fair to think 2029 is stronger within the range?
Jeanne Jones: Yes. We'll give formal guidance on the Q4 call, Paul. But I think you're thinking about it right. We've got a lot of transmission opportunities to drive the solutions necessary as we see all this demand come in. We're very excited about transmission on the competitive side as well. You probably saw that we were active in the open window, both with partners, but also solutions just from an Exelon perspective. And we think we'll have clarity there by the end of the year on some of that, roll that into the Q4 update. None of that is contemplated in our guidance nor is it in the $10 billion to $15 billion of transmission that we talk about outside the window. But what I would also say is a lot of those solutions -- all of those solutions are 2030, 2032. So the spend is sort of around the corner outside of the planning period. But what it does is it speaks to sort of the strength and the length of the continued growth in our rate base. We always aim to be at that 7% to 8% to drive the 5% to 7%. And I think this just positions us well to execute in the upper portion of that 7% to 8%.
Operator: Our next question comes from the line of Nicholas Campanella from Barclays.
Nicholas Campanella: Maybe just -- you kind of mentioned it in the prepared remarks around repairs and the CAMT. But just -- is this something that you think you kind of get clarity on by year-end and potentially consideration for the financing outlook as we kind of prepare for the disclosures out to '29? Or just what's the kind of time line there to get that clarification?
Jeanne Jones: Yes, we're hopeful [indiscernible] end of the year. We know the IRS is working on additional sort of guidance for CAMT. And so hopeful we get that clarity by the end of the year. We do know some guidance was put out. The way it was written, didn't achieve sort of the full intent. And so we're still working on that. But what I would say, though, is that, as we've talked about, that would be incremental cushion into the balance sheet and would be factored into the full update for our financing plan on Q4. But pleased to see progress there. I just want to hopefully close it out here in this year.
Nicholas Campanella: And I guess like if you had the opportunity to use that cushion, is it less equity needs or accelerate CapEx further, just cognizant of the different pushes and pulls there?
Jeanne Jones: Yes. We want to stay on that path to 14%, as we mentioned. So this would be good momentum towards that 14% by the end of the planning period. And I think we would -- we've got equity in there. We've got hybrids. We've got additional capital coming in. So we'll put all that together and make sure that we deliver kind of the most efficient plan while we maintain that 14% or better, but also driving the 5% to 7% midpoint or better. So we'll factor that all in, but I would say that, that's just helpful as we think about the cushion towards that 14%.
Nicholas Campanella: That's great. And then just if I could really quick. I know it's small, but just the ACE rate case has been going on for a long time. And you're still saying that you're on track to settle this case. And maybe you can kind of talk a little bit about what's kind of informing the view that settlement is still on the table and why this wouldn't just go to a final order in the coming months here.
Calvin Butler: Thank you, Nick. To your point, that case was filed in November of 2024. And I need to give the Atlantic City Electric team and Tyler Anthony, the CEO of Pepco Holdings, a lot of credit because they've been working with the commission and all stakeholders, including our governor and just making sure that we're being transparent, talking about each and every investment where it's needed and what the goals -- the shared goals of the parties are. And that's why we're encouraged that we can get to settlement, but it is a process. And we do anticipate that, that will happen by the end of the year. But at the same time, they do have the right to implement the interim rates subject to refund. So I believe that keeps all of the discussions moving forward and the settlement on the table because under law, you -- once you implement it, then it's subject. So they're saying, let's get it right, right out the gate. And that's what they've been working on from day 1. And I know we've been talking to both gubernatorial candidates on where we're going and what we're trying to do in that partnership. So that's why we're encouraged.
Operator: Our next question comes from the line of Jeremy Tonet from JPMorgan Securities LLC.
Jeremy Tonet: Just want to pivot a little bit here, if we could, towards the Amazon TSA. It seems like there's been some developments there. Just wondering if you could provide us, I guess, your most updated thoughts on this part of the business.
Jeanne Jones: Yes. So what we've started to do for our large load is implement what we're calling a transmission services agreement. And so with that -- the first one that we did was the one that you mentioned with the PECO data center -- the data center in PECO's territory. We like this because it does a couple of things. One, it helps really kind of solidify projects, right, and kind of maybe weed out any speculative projects, but it also protects the rest of our customer base. So it's similar to what we've had historically on the distribution side where you have deposits and letters of credit and other things that sort of -- that help protect the other customers should the demand that we build for not show up. And so we executed our first one there with -- in the PECO territory, but we've now also filed in the ComEd service territory a large load tariff, which would ask that all large loads greater than 50 megawatts sign these agreements. And so that, we think, help does the 2 things that I mentioned, right, kind of really firm up the commitments, but also protect other customers should the demand not rise. And I think what we also tried to do on Slide 13 of the deck is to show you kind of how that pipeline of large load is kind of filtering into the high probability column. You can see in the column of the 47 gigawatts of the ones that we're studying, which ones are still being studied, which ones have already been studied and are awaiting a TSA. Once we get that TSA signed, we would move it into the high probability. So that's a way to kind of keep track of how different load and different megawatts are moving from one category to the next.
Jeremy Tonet: Got it. That's helpful. And just wondering, I guess, any thoughts, I guess, on the $10 billion to $15 billion of transmission CapEx and thinking about probability weighting all this and everything as you outlined there, we've seen a number of your peers across the space lift their growth outlooks. And just wondering, I guess, what opportunities Exelon sees to stay kind of competitive with those type of growth rates?
Jeanne Jones: Yes. I think we are like running our -- I think we are running our core business really, really well, right? Transmission and distribution operations, first quartile for all operations, delivering above-average performance with below average rates, continue to have met or actually exceeded all of the guidance, upgraded S&P. So I think the core business is running really, really well. And as we think about additional growth, that comes to your point, in the form of transmission and energy security solutions. But you also know us at Exelon, we're not going to put anything in the plan that isn't certain and bankable. And so as we look for transmission, for example, I mentioned earlier, we do have some proposals in front of PJM in the current window. We'll know more about those proposals by the end of the year. And once we have certainty on those, those will come in, and we'll put them in the plan so that you don't have to speculate or probability weight some of them that once they're in, you know that we feel very certain about them. But as I mentioned before, we're focused on delivering really in the high end of what we've committed to. And as we see some of these opportunities materialize, in the back end of our plan, then we can start to think about that. But let's focus on the execution first and getting them in. And of course, we'd always love to be talking to you about more, but we're going to focus on what's executable and build it in and put it into the plan once we know it's certain.
Operator: Our next question comes from the line of David Arcaro from Morgan Stanley.
David Arcaro: Let's see, I had a quick question on that large load pipeline that you've laid out on Slide 13. I was just wondering if you could just maybe characterize how you probability weight that 47 gigawatt pipeline. I appreciate the extra detail you provided there. But like in aggregate, are those still less likely to move forward? Or for some of those, is it just more of a matter of timing where eventually those could become more advanced stage projects?
Jeanne Jones: I think it's more a matter of timing. But what we're really trying to do is before we move it to that column, do 2 things. One, complete the cluster study. So all of the load is now studied in a cluster approach so that we can give more certainty to the customers on time and time to connect and other associated questions, location, et cetera. We want to go through that first. And then from there, once we provide that information to customers, have them sign the TSA agreement. So those -- that's kind of a 2-step process, which once it goes through that, you can have -- you and us and our states and our customers can have much more certainty around this is highly probable, and it will go into that 18-plus column. So that's how we're thinking about it. But I would tell you, it's all real. It continues to grow. If you look at the chart, right, you've got 6 that have already been studied and just awaiting TSA signing. You've got 20 across the Mid-Atlantic and Illinois that is actively being studied and then another 20 that is ready to be in the next cluster study. So we've seen this grow over the last couple of years that we've been talking about this from 6 gigawatts to 18 highly probable and 47 studied or waiting to be studied. And so I think that speaks to -- there's a lot of certainty around this. But until we tell you -- until we go through those 2 steps, we don't count it highly probable. That's the process we're following now.
Calvin Butler: And David, I would just add, that is what's significant about that, you've probably heard the discussion around a lot of double counting that may be taking place across the country and the industry. This -- our process helps eliminate that and really focus on who's real and who's not.
David Arcaro: Yes, absolutely. That makes sense. And I guess on that time to connect, I guess, what is the time to connect that you're seeing for new data center projects that are kind of getting into that 47 gigawatt, getting into the cluster study process? What is the maybe wait time or when are you able to offer power in your service territory for new data centers?
Calvin Butler: I'll start with that general it depends, it depends on size, location, the ramp-up period, but Mike Innocenzo and his CEOs have been involved in this process from day 1, and I'll look to Mike to give any further clarity.
Michael Innocenzo: Yes. I mean I would just say -- I would expand on it. It depends. I would say the things that we do to try to shorten that, we understand the speed is really important. First thing we start with is where do we have capacity on the grid. So our first discussion with any data center would be where is existing capacity, where is existing infrastructure. You've seen that in -- so for example, the NorthPoint one in PECO's territory where we've used the site of a former facility and by -- they signed the TSA agreement just a couple of months ago. And by the spring, it will be PECO's largest customer on their site. So where we can use existing infrastructure, existing capacity, we're doing everything we can to connect them. We're working with our customers on the ramp-up time so that we can connect them quickly within a year or 2 or even less than that as an example of NorthPoint with existing facilities and ramp that up and then working with PJM in terms of expediting the process for any of the long-term investments that are needed for updating the grid for some of the larger loads.
Calvin Butler: And if I can, David, let me share with you, you've got the back end of what operations takes over. Over 1.5 years ago, we centralized all of our large accounts, our data center accounts to really work with the customers in the strategic planning process. Just last month, we had our 25 largest customers in Chicago and really started talking to them about what you need, where you're going and what is your ramp-up time on certain things across our jurisdictions. So it's not just one state. We're working with them about what we have across our footprint, which once again elevates the size and scale of Exelon because we're in multiple jurisdictions, and we can help meet that need. So we started this process a long time ago, and we get up in the strategic planning process before we even start talking about shoveling ground.
Operator: At this time, I would now like to turn the conference back over to Calvin Butler for closing remarks.
Calvin Butler: Well, first off, let me just say thank you. Thank you for taking the time today and for being part of our 25-year journey at Exelon. We appreciate your support, and we look forward to seeing many of you next week at EEI. We're looking forward to the discussion and just the constant dialogue means a lot to us, and I know for our employees to be engaged in. And so with that, Gigi, this concludes the call.
Operator: Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.